Operator: Thank you. Greetings. Welcome to the Radiant Logistics Inc. financial discussion for Second Fiscal Quarter ended December 31, 2025. This afternoon, Bohn Crain, Radiant Logistics Founder and CEO; and Radiant's Chief Financial Officer, Todd Macomber, will provide a general business update and discuss financial results for the company's second fiscal quarter ended December 31, 2025. Following their comments, we will open the call to questions. This conference is scheduled for 30 minutes. This conference call may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The company has based these forward-looking statements on its current expectations and projections about future events. These forward-looking statements are subject to known and unknown risks, uncertainties and assumptions about the company that may cause the company's actual results or achievements to be materially different from the results or achievements expressed or implied by such forward-looking statements. While it is impossible to identify all the factors that may cause the company's actual results or achievements to differ materially from those set forth in our forward-looking statements, such factors include those that have in the past and may in the future be identified in the company's SEC filings and other public announcements, which are available on the Radiant website at www.radiantdelivers.com. In addition, past results are not necessarily an indication of future performance. Now I'd like to pass the call over to Radiant's Founder and CEO, Bohn Crain.
Bohn Crain: Thank you, John. Good afternoon, everyone, and thank you for joining in on today's call. With the benefit of our diversified service offering, we delivered another quarter of solid financial results. generating $11.8 million in adjusted EBITDA for our second fiscal quarter ended December 31, 2025. We had a tough year-over-year comp as the year ago period included $64.8 million in revenues for air charters, bringing approximately 8 million units of IV fluid to the U.S. as a result of the national shortages resulting from Hurricane Milton. . When excluding $5.9 million in adjusted EBITDA from the Milton project in the year ago period, adjusted EBITDA increased by $5.7 million or 93.4% and compared to $6.1 million for the second fiscal quarter ended December 31 of 24. This growth breaks down as follows: Same-store growth of $3.6 million in our U.S. operations, same-store growth of $1.4 million in our Canadian operations and another $0.7 million in growth from our acquisitions. Without the lower margin of the Milton project in the current period, our adjusted gross profit margin returned to more normalized levels improving 340 basis points to 27.3% compared to 23.9% in the year ago period, demonstrating our ability to maintain solid margins even as we navigate a challenging freight market. Importantly, when excluding the impact of Project Milton in the comparable prior year period, our adjusted EBITDA margin expanded by 780 basis points to 18.6%, reflecting our continued focus on operational efficiency and disciplined cost management. And while still very early in our journey, we continue to be encouraged by the prospects of Navigate, our proprietary global trade management and collaboration platform. Navigate represents a meaningful differentiator for us in the marketplace and supports both domestic and international shipments by aggregating and organizing supply chain to deliver enhanced visibility, automation and faster decision-making. With streamlined deployment measured in weeks, not in months or years, our customers can quickly reduce costs optimize routing and improved buying and routing decisions. We believe this speed to market and ease of deployment represent a clear competitive advantage and then Navigate will serve as a meaningful catalyst for organic growth as we introduce the technology to our current and prospective customers in coming quarters. We are also pleased to announce the launch of Ray, our first AI-powered agent. With its initial focus on streamlining the administration of quote requests from our international agents around the world. Ray represents an important step in our ongoing digital transformation journey and complements our Navigate platform by further automating and accelerating key workflows. By leveraging artificial intelligence to handle routine administration task, we expect rate to improve response times for our global network of agents, enhance service quality for our customers and drive additional operational efficiencies across our organization. We look forward to expanding Ray's capabilities into additional AI-powered solutions in coming quarters. As previously discussed, we believe our durable business model, diverse service offering, disciplined approach to capital allocation and low leverage continues to serve us well. We remain virtually debt-free with no net debt as of 11.25 relative to our $200 million credit facility and on track with our continued efforts to deliver profitable growth through a combination of organic and acquisition initiatives, while thoughtfully releveraging our balance sheet through a combination of strategic operating partner conversions, synergistic tuck-in acquisitions and stock buybacks. With respect to our stock buyback program, we acquired another $2.7 million of our stock through the 3 months ended December 31, 2025. Looking ahead, we expect to stay the course with our balanced approach to capital allocation through a combination of agent station conversions synergistic tuck-in acquisitions and stock buybacks, while at the same time, looking to invest in incremental sales resources with attention given to our deployment of the Navigate technology. With that, I'll turn it over to Todd Macomber, our CFO, to walk us through our detailed financial results and then we'll open it up for Q&A.
Todd Macomber: Thanks, Bohn, and good afternoon, everyone. Today, we will be discussing our financial results, including adjusted net income and adjusted EBITDA for the 3 and 6 months ended December 31, 2025. For the 3 months ended December 31, 2025, we reported net income attributable to Radian Logistics of $5.35 million on $232.1 million of revenues or $0.11 per basic and fully diluted share. For the 3 months ended December 31, 2024, we reported net income attributable to Radiant Logistics of $6,467 million on $264.5 million of revenues or $0.14 per basic and $0.13 per fully diluted share. This represents a decrease of approximately $1.1 million of net income over the comparable prior year period or 18%. For adjusted net income, we reported $8.76 million for the 3 months ended December 31, 2025, and compared to adjusted net income of $10,696 million for the 3 months ended December 31, 2024. This represents a decrease of approximately $2.6 million or approximately 24.5%. For adjusted EBITDA, we reported $11,774 million for the 3 months ended December 31 and 2025 compared to adjusted EBITDA of $12.16 million for the 3 months ended December 31, 2024. This represents a decrease of approximately $242,000 or approximately 2%. While we reported adjusted EBITDA is essentially flat the prior year period included $5.9 million of EBITDA represented by the frequent project cargo work we referred to in our press release as the Milton project, which was awarded a radiant for Q2 2025. Excluding this nonroutine Radiant's Q2 fiscal '25 adjusted EBITDA would have been $6.1 million on a normalized basis the current quarter would essentially reflect a $5.7 million increase, representing 93.4% quarter-over-quarter growth in adjusted EBITDA. For the 6 months ended December 31, 2025, we reported net income attributable to Radiant Logistics of $6,598 million on $458.8 million of revenues or $0.14 per basic and fully diluted share. For the 6 months ended December 31, 2024, we reported net income attributable to Radiant Logistics of $9.843 million on $468.1 million of revenues or $0.21 per basic and $0.20 per fully diluted share. This represents a decrease of approximately $3,245,000 over the comparable prior year period or 33%. For adjusted net income, we reported $12,543 million for the 6 months ended December 31 compared to adjusted net income of $18,570 million for the 6 months ended December 31, 2024. This represents a decrease of approximately $6,035,000 or approximately 32.5%. For adjusted EBITDA, we reported $18,571,million for the 6 months ended December 31, 2025, compared to adjusted EBITDA of $21,468 million for the 6 months ended -- for the 6 months ended December 31, 2024. This represents a decrease of approximately $2 million or 13.5%. With that, I will turn the call over to our moderator to facilitate any Q&A from our callers.
Operator: Thank you. [Operator Instructions] The first question comes from Elliot Alper with TD Cowen.
Elliot Alper: Yes. Great. This is Elliot on for Jason Seidl. So nice growth after excluding the project work from last year. Curious if you could talk about the demand environment currently, maybe what your agents are telling you? And then any project work from severe weather in the March quarter?
Bohn Crain: Sure. I think generally speaking, people are, I guess, growing increasingly bullish in terms of where we are. We've seen a little bit of improvement here. Again, excluding the project cargo from the year ago period, some really good growth international and kind of ocean imports, in particular, continues to remain relatively soft. But all in all, with the diversity of our business and candidly, some of the traction we're getting with the Navigate technology platform is really helping to kind of help us put points on the board in this environment. It seems to be most recently kind of a tightening of capacity. And we've seen the tender rejection rates starting to come up. So I don't think we really have seen kind of the benefit of that most recent dynamic in the quarter ended December. But as we come into the quarter, March, which historically is our seasonally slowest quarter it will be interesting to see kind of how this tightening capacity environment kind of affects overall margin characteristics and what's -- kind of what's happening in the domestic market. And I think all of this capacity tightening will be constructive for us in our -- in the peer group more broadly. And -- I'm sorry, Elliot, what was your second question?
Elliot Alper: Just on if we should expect any project work from the severe weather we've seen to begin the calendar year?
Bohn Crain: Nothing on the -- kind of on the books yet. We'll continue to watch it. I won't say we root for natural disasters, but we're certainly there to pick up the phone when they when they occur. Again, most recently, there's a kind of an unusually cold weather system in the -- that hit the Southeast, which will probably cause a little bit of slowness for a lot of folks around that particular event. But in terms of kind of broader natural disasters, fires, hurricanes, that type of stuff. There's nothing kind of immediately on the kind of in process for us around those types of opportunities.
Elliot Alper: Okay. Great. And it sounds like you guys are making a lot of progress on Navigate. I know it's still very early in the journey, but I'm true like how much revenue you expect from Navigate this year?
Bohn Crain: I don't want to get into specific numbers, but kind of looking at it a little more broadly what's really exciting for us is, ultimately, we're partnering with our customers as they kind of onboard their vendors onto the platform and the visibility and their ability to kind of better control and manage their vendor base. But as we're onboarding our customers' vendors onto the technology and they're getting exposure to what it represents in its capabilities. We're starting to get what I'll call reverse inquiry inbound interest from these vendors themselves as becoming direct customers. So we really are seeing a compounding effect of Navigate as our -- as we continue to grow our community, I think we're getting really positive feedback and kind of broadening interest. So we see this having a lot of application in different industry verticals and different ecosystems as we continue to roll it out.
Operator: [Operator Instructions] Okay. There are currently no questions in the queue. I'd like to turn the floor back to Bohn Crane for any closing remarks.
Bohn Crain: Thank you. Let me close by saying that we remain optimistic about our prospects and opportunities to continue to leverage our best-in-class technology, robust footprint and extensive global network of service partners to continue to build on the great platform we've created here at Radiant. At the same time, we intend to thoughtfully reeler our balance sheet through a combination of age station conversions, synergistic tuck-in acquisitions and stock buybacks. Through our multipronged approach, we believe we will continue to create meaningful value for our shareholders, operating partners and the end customers that we serve. Thanks for listening and your support of Radian Logistics.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.